Operator: Hello, everyone, and welcome to Arrival’s Third Quarter 2022 Earnings Webinar. My name is Mike, and I'll be your operator today. Before I hand the call over to the Arrival team, I'd like to go over just a few housekeeping notes for the program. As a reminder, this webinar is being recorded. [Operator Instructions] Thank you for your attendance today, and I will now turn the call over to Arrival.
Annie Wechter: Thank you all for joining us today to discuss Arrival’s third quarter 2022 financial results and business update. Today, we have Denis Sverdlov, Arrival Founder and CEO; Avinash Rugoobur, President; John Wozniak, CFO; and Mike Ableson, CEO of North America.  Before we begin, I'd like to remind everyone that certain statements made on this call today are forward-looking statements. These statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and the information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Descriptions of these factors and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in our filings with the SEC our third quarter 2022 business update issued today on the 8th of November. During the call, we also refer to certain non-IFRS financial measures. This should be considered in addition to and not as a substitute for or in isolation from our IFRS results. For further information, please refer to our Investor Relations website at investors.arrival.com.  With that in mind, I'll turn it over to Avinash.
Avinash Rugoobur: Thanks, Annie. 2022 has been a difficult year for the entire sector and Arrival is no exception. But Arrival is unique in how we respond to these challenges. We recently announced a modification in our current focus, and I want to explain this today and remind everyone why it is that Arrival has such great potential. Over the last eight years, we have developed a new method to design and produce a type of electric vehicle enabled by a vertically integrated stack of technologies. We have IP that no one else before us has been able to develop in this industry, which consists of proprietary composite body parts, high-voltage and low-voltage components, software for vehicles, autonomous mobile robotics and software-defined Microfactories. The benefit of these technologies is that they are designed for Microfactory assembly, and we can use the same core technologies in all our vehicle programs. We certified our bus and van products in Europe. We were able to do this in rapid time due to our vertical integration. These are learnings and capabilities we will carry forward in all our vehicle programs.  We recommenced road trials with customers. Real-world testing allows us to fine-tune our technologies. We also assembled our first production verification vans in Bicester this year using our unique method of assembly. And this shows that the Microfactory has moved from a concept to a reality. And we've done all of this with approximately $1.6 billion of investment, which highlights the relative capital efficiency of our business model. At the end of Q3, we had approximately $330 million of cash and cash equivalents on hand, which is not enough capital to ramp up volume production of the L Van in Bicester. In our Q2 financial results, we announced plans to use existing cash on hand of $513 million plus funds available through a $300 million at-the-market ATM platform to deliver the first vehicles to UK customers this year, invest in hard tooling and launch the Charlotte Microfactory next year. Due to the current market cap and average daily trading volumes, the ATM has not allowed us to raise the capital to do what we need to do in the time frame we want to do it. And we were later than expected in delivering upon some of our key objectives. At the same time, the introduction of the Inflation Reduction Act tax credits ranging from $7,500 up to $40,000 for commercial electric vehicles, the large market size, plus the anticipated higher margins for commercial vehicles made the U.S. our most attractive market. Our long-term strategy and opportunity remains the same, but the combined effects of these points means that we have had to adjust our short-term strategy. To survive in these market conditions requires this kind of agility. For these reasons, to ensure the ongoing success of Arrival, we don't have any other choice than to move to the next stage of our strategy, which has always been to bring products to the U.S. market. Therefore, our focus over the next couple of quarters is to extend the runway of our cash on hand by restructuring the business to reduce costs, to continue to advance our enabling technologies as every improvement here is shared by all our vehicles, to produce a small number of vans in Bicester to optimize Microfactory assembly processes, perform durability testing on our vehicles and continued customer trials and to secure new funds to bring our products to the U.S. Our U.S.-based product engineering team will be led by Mike Ableson, who brings over 30 years of experience with GM, including leading vehicle programs. We have learned a tremendous amount in designing the Arrival bus, van and car from the ground-up using our own vertically integrated technologies and our U.S. products will reuse much of this intel. The talented team we have in place gives us renewed confidence in our ability to execute as well. Finally, I want to add this does not mean a reading of the UK and European markets. But simply, we are prioritizing the U.S. market with our current available funds, but we will keep an incredible team in place in the UK to redesign and optimize aspects of our L van for the new EU regulations.  And with that, I'll hand it over to John for our financial results and cash guidance.
John Wozniak : Thanks, Avinash. Over the next few quarters, we will be focused on raising the capital needed to bring the products designed for the U.S. market into production. Recently, we announced that we are further rightsizing the organization and cutting cash-intensive activities primarily related to third-party spend and costs related to ramping up production of the L Van in Bicester. The result of these proposals is expected to have a sizable impact on our workforce predominantly in the UK. Due to the regulatory nature of these redundancies in the UK, the cost savings related to salaries will not be fully recognized until Q1 of 2023.  I'd like to further discuss the financial factors that led us to make this change now. We cannot make money on the current L Van product, given the cost of parts associated with being on low volume or soft tooling with our suppliers. Each vehicle we produce on soft tooling reduces our cash balance. Normally, we would hard tool with suppliers to achieve the planned cost per part. But in order to hard tool the L Van, we need approximately $150 million, which we assumed would be available to us under the ATM program. Without proceeds from the ATM, we do not have this option.  On the other hand, the U.S. van, which is already in development, has a higher ASP and margins than the current L Van and is supported by new incentives of up to $40,000 per vehicle starting in 2023 from the recent Inflation Reduction Act. We also see high demand in the U.S. market for electric last-mile delivery vans for which we do not see enough supply from the industry.  In summary, limited resources and the attractive opportunities in the U.S. market makes developing U.S. products the best use of capital but this means revenue and margins will come later, not in 2023. Turning now to our cash outlook. We expect to end the year with between $160 million and $200 million of cash. Our expectations for ending cash includes approximately $35 million in Q4 for severance and retention-related costs, and approximately $40 million for other restructuring costs. And we expect cash on hand will be able to fund the business into Q3 of next year.  I will now turn the call back to Avinash for closing comments.
Avinash Rugoobur: In closing, in the near term, we are raising funds to develop and produce vehicles for the U.S. market. Although we don't expect revenues in 2023, we are addressing a larger market with products that have higher margins, meaningful incentives and industry-leading attributes based on our unique technologies and substantive experience from developing the L Van.  Tapping into the U.S. market using Arrival’s core technologies will open up a much larger total addressable market opportunity as our core technologies are suitable to develop any type of vehicle and demand can be met with our modular scalable Microfactory strategy, which enables us to rapidly respond to demand as capital becomes available. Finally, I would like to express our sincere gratitude to our investors, employees, customers, partners and suppliers who have stuck by our side through a lot of ups and downs during the year. We knew this road will not be easy. However, we believe we are making the right choices for the long-term success of Arrival, and we appreciate the continued support.  And with that, we'll move to Q&A.
Operator: [Operator Instructions] Your first question comes from Jeffrey Osborne at Cowen. Jeffrey your line is open.
Jeffrey Osborne : Several questions on my end. I was wondering, Avinash, if you can give us an update on the time line for the development of the U.S. van, how much of the commonality for the UK van is there with the U.S. fully recognizing, you indicated no revenue in '23? Just trying to get a sense of where we are for that product in particular?
Avinash Rugoobur : Yes. So Jeff, I'll start, and I'm sure Mike will want to add some more color. The XL Van has actually been in development in parallel with the L Van. We have mentioned it before. It's about 60% to 70% commonality with the L Van, but there is still some specific work to do for the U.S. that we'll be working on over the next 12 months. So we expect that. That's why we're saying we don't expect any revenues in '23. So we have been working on it. We've learned a lot from the L Van. I want to remind everybody that the core components move over to that van, the composite materials, the factory processes, but there are some specific engineering tasks required for the XL Van that Mike can cover.
Mike Ableson : Yes. I'd add as far as to the timing of the program, it's dependent on when we raise capital. We estimate it's 12 to 18 months from when we raise capital to when we're actually in production with the XL Van. As Avinash said, there's a lot of carryover componentry and systems and especially some of the high-value systems like traction motors and battery modules carryovers. So it has really shortened our development time for the U.S. van.
Jeffrey Osborne : Helpful, Mike. I appreciate it. And then maybe for John, on the restructuring side. Can you give us a sense of where headcount was exiting the quarter, where you anticipate it to be? And then as we look to '23, you gave a guidance, a runway to 3Q, but how should we think about the monthly cash burn in the event that maybe you raised money in the spring or whatnot? I'm just trying to get a sense of what the burn rate will be post all these changes?
John Wozniak : Sure, Jeff. I think -- so first, on the head count or on the people question, we went into the restructuring with around 2,400 employees. And I think when we're largely through this, we'll be under 1,700 employees, largely the reductions took place in the UK, which is where we saw the bulk of it. I want you to think about our quarterly cash burn next quarter as approximately 1/3 of where we were at coming out of Q3. So we spent about $180 million in Q3. We think when we're done with the restructuring, we can spend at about 1/3 of that. Obviously, on a monthly basis, I would expect some lumpiness. We still could expect a few onetime items associated with the restructuring to hit in early part of next year as well, but it's about $60 million per quarter.
Jeffrey Osborne : That is very helpful. And then maybe the last question on my end is, how do we think about the Charlotte facility today? Is there anything that was put in motion prior to this move? Or is it just a physically empty building? I'm just trying to get a sense of what's in place today.
Mike Ableson : So Jeff, as you know, we had been working towards a start of reduction in Charlotte at the end of this year originally. So we had ordered long lead equipment, already ordered it, had been taking delivery of that equipment. So no, it's not an empty building. We've already completed quite a bit of the infrastructure work that would have to be done. So we've got a head start on Charlotte. We're not starting from ground zero with the Microfactory there.
Jeffrey Osborne : Okay. Maybe I apologize, I said the last one is the last one, but this will be the last one, I promise. Maybe for Denis, you had some press reports yesterday. But curious if you had any comments on those? Otherwise, I'll let you go.
Denis Sverdlov : Probably I will comment. Look, obviously, there are some people who have said during the process and we -- actually reported like negations, the majority of the comments we've been there is actually incorrect. And actually, if you think about our organization today, we have very strong motivated team. I mean, so everyone understands why this restructuring is happening. They support this restructuring, and we see it like through the process because it was much easier this time than it was last time. And people understand what is our objective, what is our strength and actually they see our future very positively. So for that reason, I would say, of course, we understand how media works like now, but -- and it creates a necessary pressure, I would say. But as a company, we feel very, very strong.
Operator: And your next question comes from Steven Fisher
Steven Fisher : Wondering if you could just discuss order activity, particularly in the U.S.? Curious what you're hearing from your customers, given the changes in strategy and liquidity? How much visibility do you have in that customer base kind of taking shape in the U.S. given your switch to focus there?
Avinash Rugoobur : Yes. So Steven, even within the current backlog, there are orders for the U.S., as you can imagine. But we are -- with this change, we are in conversations with all of our key partners in regards to what the portfolio will look like going into the future years. We are still, as an industry, supply constrained rather than demand. We still see a huge opportunity. And if you think about the IRA and the van products that we’re looking to launch there, I mean, the incentives range from $7,500 to $40,000. And there are particular products that we think become extremely compelling when you look at that. So we believe that, that transformation is only going to continue. The customers we have understand why we are doing the changes in terms of our -- the capital and all the reasons that we have mentioned today. And of course, we're in constant conversation with them about what that -- what our next set of products will look like for them. So Mike, I don't know if you want to add anything?
Mike Ableson : No, I think you summarized it well, Avinash.
Steven Fisher : Okay. And then not sure if I missed it. But given the funding through Q3, what are the capital raising options that you're considering for the moment for beyond Q3? And what's the timing that you might start implementing that?
John Wozniak : So we're actively engaged in capital raising as we speak. It's being led by myself and Avinash. We would be targeted in both strategic and financial partners in this process. We've had some preliminary discussions with a handful of parties that have been very productive at this point, and we'll continue to have those discussions. But I would expect, just given the tight funding environment that we're in right now, we expect the process to take, I would say, up to six months for that to materialize.
Operator: [Operator Instructions] Okay. All right. Thank you for your questions. And I'll now pass the call back to Avinash for closing remarks.
Avinash Rugoobur : Thanks. So in summary, we're at a junction that we think when you look at the capital we have on hand, the progress that we've made to date, we have the vertical integration technologies, which, as I mentioned, has really moved now from concept to reality. But we're at a junction where we think the best course of action is to take advantage of the technology we've got and the growing U.S. market and particularly that tailwind would be IRA.  So once again, I'd like to just remind everybody that no one in this industry to date has the core components, the composite materials, the Microfactory, the software platform. We have all the enabling technologies to put that together in the family of Van products that Mike will be leading. And as John mentioned, we'll be looking at all of our options to raise capital so that we can have a very successful future. So I want to thank everybody for joining the call today, and we'll speak again soon.
Operator: This concludes today's conference call. You may now disconnect. Thank you.